Carlo Messina: Good afternoon, ladies and gentlemen and thank you for joining us on this call to discuss Intesa Sanpaolo results for the First Half of 2014. This is Carlo Messina, Chief Executive Officer and I'm joined by Stefano Del Punta, our Chief Financial Officer and Marco Del Frate and Andrea Tamagnini our Investor Relations Officers. Let me introduce three key messages of this presentation. First of all, we delivered a very good semester with €1.2 billion net income excluding one-off tax charge. Second, we are firmly on track to deliver now our business plan commitments. Third, we confirm our strong capital and liquidity position and now we are even more confident that we'll be a comprehensive assessment winner. Now let's go through the presentation and then I'll open the call up for your questions. Let's now turn to Slide 1 and have a look at the first semester highlights. In the first semester, we delivered a strong improvement in profitability. Despite the impact of the higher tax rate on the gain from the Bank of Italy stake booked in the fourth quarter of last year. We continue to generate high quality earnings. Net interest income has been growing confirming the recent positive trend. We achieved the highest net fee and commission income since 2007. We improved our already best-in-class Cost/Income ratio. We have been reducing provisions in parallel, with NPL inflow improvement. We maintained best-in-class capital and leverage positions even after €500 million of pro-quota dividends. We are very well positioned to be a Comprehensive Assessment winner and finally the business plan is well underway and we are fully on track to deliver on our targets. Thanks to the strong involvements and commitment of all our people. Let's now move to Page number 2, so we delivered a strong economic performance in the first semester. Net income is up to around €1.2 billion, €720 million including the one-off increase in tax rate. Pre-tax income is at around €2.2 billion, 70% up on a yearly basis. Operating income is up 5%, mainly driven by the positive trend, the net interest income and sustained growth in commissions, which are up 9%. Operating margin is up 8% and the cost income ratio to 42.2%. Loan loss provision decreased by 11%, with lower NPL inflows and increased NPL and performing loans coverage ratios. As I have just said, ISP remains one of the strongest banks in the world. Pro-forma fully common equity ratio is up to 12.9%. Leverage is at 16.4 times, Basel 3 pro-forma leverage ratio is about 6%. We have around €10 billion of capital in excess of global SIFI requirements and a €20 billion buffer ahead on the compressive assessment. Giving us high confidence for the Asset Quality Review. Our liquidity and funding positions are very strong, with full year wholesale bond maturities already fully covered and Liquidity Coverage Ratio and Net Stable Funding Ratio well above 100%. In summary, we reduced to an excellent half year and underlying our cost [indiscernible] and making progress in line with our business plan commitments. For a quick comparison versus first half last year, please turn to Slide 3. The year-on-year comparison is strongly positive. Operating income grew by 5%. Mainly driven by net interest income up 4% and net commissions up 9%. Operating cost are fairly stable, despite the pro-quota incentives to support growth, which are already factored into personal cost. Operating margin is up 8%, but it will be 14% excluding profits on trading. Loan loss provisions decreased 11%, as a function of macroeconomic conditions and our efforts on pro active credit management. Stated income is up 71% and instance that €1.2 billion excluding the one-off tax charge. Slide number 4, as you can see in the graph compared to last year. Net income in the semester increased substantially from €0.4 billion to €1.2 billion driven by the improvement in the core components of our revenue base such as net interest income, commissions and insurance income. This is only partially offset by the one-off tax increase on the capital gain from the Bank of Italy stake. We have delivered not only a growing net income, but also significant improvement in the quality and in the sustainability of our revenues. Slide number 5, in the past two years. The bank has been focused on rebalancing the business mix towards fee intensive business and as you can see, the results are extremely positive. Over the past 24 months, the relative way of commission increased from 30% to 39% of operating income. This results are well in line with our business plan targets for which we expect to increase the contribution of commissions to operating income up to 43% by 2017. Slide number 6, second quarter results. The quarter-over-quarter comparison shows a strong increase in operating income up 8%. Mainly driven by increased commissions and profits on trading. An increase in operating margin up 19% also thanks to continuous and effective cost management. A decrease in loan loss provisions of 15% versus the second quarter of 2013. A very good net income at around €650 million, which comes down to around €220 million as the result of the one-off tax charge. Slide number 7 very important in my view. In the second quarter, we recorded the highest pre-tax income in nine quarters at €1.2 billion versus another job €752 million for the past nine quarters. These results are driven by the new strategy, we started last year and by the strong involvement of all our people, with the new action plan of Banca dei Territori and the new business plan for the Group. Slide number 8, in the first semester we reversed the trend of negative year-on-year growth for net interest income. We've bore the first and second quarter better than last year. We recorded an increase of 3.8% year-on-year mainly driven by re-pricing and a lower cost of funding. Slide number 9, commissions. We had strong results in net fees and commissions versus both the first quarter, 2014 up 9% and the first semester, 2013 again up 9% confirming the growth trend in this area and underlining our ability to extract value from all components, which are under management control. Slide number 10, asset under management continue to grow reaching €280 million up 15% on a yearly basis. Also the relative way of assets under management on and direct deposits increased to 62% up 3% points in the past 12 months of which 2% points has been delivered in the past quarter. We succeeded in reaching from asset under administration to asset under management around €13 billion in the semester. Slide number 11, ISP is recorded top tier improvement in operating income compared to European peers. Considering only the players, who have already communicated results of the first semester. We rank 1st, in terms of revenue growth. So not only 1st in capital, a liquidity but also in revenue growth. Slide number 12, we continue to be extremely focused on cost management. Operating cost have been fairly stable in the past 12 months, with a further reduction in administrative expenses. Pro-quota incentives to trigger growth have been already factored into personal cost. Our already best-in-class cost income further improved to 48.2% in the first semester, 45.9% in the second quarter. Slide number 13, as you can see our cost income ratio of 48.2% in an industry, where the average is more than 62% positions as among the most efficient player in Europe. Slide number 14, quality of credit. After years of operating in a very difficult market environment, we are starting to see improvement in net NPL inflow, which is down 9% on a yearly basis, but remember down 22% excluding to large positions. Consistent with the improvement in NPL inflows, we reduced provisions by 9% but we further increased the net NPL cash coverage ratio to 46.6%, 2.5% point higher than one year ago. So the reduction in provision was 11% and not 9%. Slide number 15, contribution by business unit. As you can see Italian retail results are solid and so the highest growth in the Group. Up 85% on a yearly basis, thanks to the improvements delivered by the Banca dei Territori action plan currently being implemented with significant success. Well management and private banking delivered excellent growth up 25% reaching a pre-tax income of more than €1 billion. It is worth highlighting that all three units, Banca Fideuram, Intesa Sanpaolo Private Banking and wealth management, product [ph] factories delivered growth above 20%. Corporate and investment banking is still our largest contributor to pre-tax income with €1.1 billion and the positive 31% growth versus the 2013, half-year average. Last but not least, our international subsidiaries contributed €218 million up 80% versus the first half, 2013. Capital base Slide 16, on top of the strong business performance reported will farther strengthen our balance sheet. Fully loaded common equity ratio improved by 190 basis points on a yearly basis, up to 12.9%. Our phased-in common equity ratio increased to 13.2%. These ratios take into account €500 million pro-quota dividends, which represents the half yearly quarter €1 billion cash dividends invested in our business for 2014. We strongly believe that a solid capital base is a fundamental pre-condition for growth and success and represents a key source of competitive advantage for ISP. Slide number 17, our Basel 3 common equity ratio stands at very favorable levels versus all other European banks more than 3% points above the current maximum level for global CET. That's why, we are well-positioned and confident that we will emerge from the compressive assessment as one of the winners. Our leverage Slide number 11, we are deliberate policy of keeping our leverage at a very conservative level. On this slide, you can see just our leverage is versus our European peer Group standing at 16.4 times, we are one of the most conservative banks in Europe. We are also in a good position to deliver if the environment turns positive. Slide number 19, liquidity position. ISP continues to enjoy a strong liquidity position unencumbered at eligible assets with Central Banks are at €82 billion. Our Liquidity Coverage Ratio and Net Stable Funding Ratio are well above Basel 3 requirements. In addition, full year wholesale borne maturities have been already fully covered in the first six months of the year. Slide number 20, cash coverage ratio. Our strong provisioning despite lower NPL inflow is driven an increase in NPL cash coverage to 46.6% up 250 basis points on a yearly basis and almost 10% points higher than the average of our domestic competitors. Cash coverage ratio on performing loans also increased to 84 basis points around 30 basis points higher than the average of our domestic competitors. Slide number 21, collateral. Our total NPL coverage ratio including collaterals is at very high level of 135% and this goes even higher to 157%, if you also consider personal guarantees. When considering the total coverage of specific segments. The data show that ISP's coverage levels are even safer. Moreover, it is important remember that during the period from 2009 to the end of June, 2014. The recovery ratio of our doubtful loans exceeded their net book value by around 40%. Slide 25, on our position towards the comprehensive assessment. As said before, thanks to our strong capital and liquidity in leverage, we are very well positioned to be a comprehensive assessment winner. Indeed, as you can see in the chart. We have significant excess capital. Our capital position results in a success capital of around €10 billion versus 9.5% maximum requirement set by the Basel 3 level for Global SIFI. Our strong position is even stronger, when compared to the requirement set by the ECB for the comprehensive assessment. We have an impressive capital buffer of €20 billion versus the stress test ratio threshold of 5.5%. This huge capital buffer provides us, with both solidity and ample strategic flexibility that we can leverage in the coming years to grow and to provide our shareholders with significant buyback. Slide number 23, on business plan. In line with our new business plan, we have already launched and implemented several new actions. Among the key actions is worth highlighting for the new Growth Bank, Banca 5 where we have already introduced the new specialized model in more than 1,300 branches and increased revenues per client from €70 to €80 on 5 million customers. Multichannel strategy; where we have added more than 300,000 multichannel clients in just a few months confirming our number one position in online banking in Italy with 4.7 million clients. Over the core growing bank, we further simplify that reduces the number of legal entities of the Group by eight. We closed an additional 131 branches in the second quarter for a total of around 205 months. For the Capital Light Bank, we defined the performance metrics and operational model and they've already delivered a €2 billion deleverage. We repossessed assets through Re.o.Co with two auction attended and for the key levers. People and investments, we launched a Big Financial Data program to create an integrated management of customers and financial data and we created a Innovation Center with the objective of developing new product processes, the ideal branch, training center and incubator for startups of our customers. Slide number 24, all the action implemented are already showing positive results. So we are firmly on track or even higher to deliver on our business plan commitments. Indeed, in the past six months we registered a better performance than expected in our business plan targets on all the key economic and operational indicators. Slide number 25, a contribution of all our people. As you may remember, our business plan is been developed with a strong and direct contribution from all our people, in order to align, motivate and mobilize the entire organization. This reflects the fact that we strongly believe that our people are our key asset, this is my personal condition. Each one of them as is or have own business plan to deliver and they're all actively contributing to Group targets. The combined effort of all our people has been a key enabling factor to achieve the positive results for the first semester, putting us on track to deliver on the business plan. So in summary and in conclusion, we deliver extremely positive, half yearly results. We enjoyed strong profitability and achieved high quality earnings. Net interest income is growing after years of reductions, net commissions reached the highest level since 2007. We farther improved the cost income ratio for the Group. In a scenario of NPL inflow improvement, we have reducing provision but increased coverage ratio on NPL and performing loans. We remain one of the strongest banks in the world in terms of capital and leverage, even after €500 million of pro-quota dividends in the semester. The new business plan is underway and we are firmly on track to deliver on our commitments. So finally, we are ready well position to be one of the winners of the comprehensive assets. So let me also take the chance to thank all our people, who are working hard to deliver these impressive results. Once again, thank you for listening and will now do my best to answer any questions, you may have.
Operator: Thank you. (Operator Instructions). We'll take our first question from Jean-François Neuez from Goldman Sachs. Please go ahead.
Jean-François Neuez – Goldman Sachs: Hi, this is Jean-François Neuez from Goldman Sachs. I just wanted to ask you three quick things. The first one on net interest income. We see that loans are down again this quarter and the spread effect on the net interest income seems to be reducing quarter after quarter and therefore to see net interest income growth from here looks like volumes will be required and then obviously, rate we have to pick up, but I just wanted to know, whether you saw any kind of pick up in loan growth towards the end of the quarter or data from the AIB seems to suggest to, but I just wanted to know, whether you could give us any color as to, what the outlook there is? The second question, is on asset quality. Did I understand well, when you said that the inflows this quarter were due to specific finds? And also you showed rate of recovery on your NPL since 2009, you said of 138%. Just wanted to know, if we could have the number year-to-date for example? Thank you.
Carlo Messina: On the low side, we will have a contribution that will increase in the second semester deriving from volumes of loans. I cannot be sure that this will be in this quarter, but I'm sure that a contribution will increase in the second part of the year. Looking ahead, the inflows it is true. We had two specific positions that we decided to move to sub-standard and these increased the inflow or reduce the improvement in our inflow. The recovery rate is well above 100% also in the last month.
Jean-François Neuez – Goldman Sachs: Lastly I forgot about the cost, if I may. The cost/ income ratio well is up 50%. This is a ratio, which is achieved when the rate was still very, very low. And I just wanted to know whether there was, one your side some investments that you've decided not to make or anything that will be postponed for later of your run rate of investments if what you would like to be at this stage because the cost/income ratio looks very good. In particular, this point in the cycle. Thanks
Carlo Messina: You know that, in the last four years or five years. We reduced the cost base by 10%, so this is result of the strong work that we made during the year, for the crisis in Italy. Now we are recovering also due to increasing revenues because we are starting again and increasing revenues and that it is something I want to point out, in these results because this is the first time, in which in Intesa Sanpaolo is the winner, also in, the growth in revenues compared to all other European peers. So there is no postponement on investment because we are investing for growth. This is the clear message of our business plan and we're also investing on our people increasing also the incentive scheme as making the provisional's for these incentive scheme and these exercised in the personal cost.
Jean-François Neuez – Goldman Sachs: Thank you, so much.
Operator: We will now take a question from Azzurra Guelfi from Citi. Please go ahead.
Azzurra Guelfi – Citigroup: Good afternoon, this is Azzurra from Citi. I have two questions and one clarification. The first one is on your interbank position in LTRO I have seen that you have improved dramatically your liquidity position again in terms of just interbank. Now your interbank position has decreased by €10 billion quarter-on-quarter. So clearly, you have excess liquidity on these side. What are your plan, if it's possible to know about the TLTRO coming and if it's convenient for a bank to like Intesa to use, the TLTRO in defuse [ph]. And the other question is fee income, clearly you have done a fantastic job on the commission income and I was looking at the detail and it's not just on the asset under management, but it's also strong banking fees and also very strong CIB, can you elaborate a little bit more on these areas because volume are still subdue and on the CIB environment, if you have any other update to give. And the clarification is on the AFS reserve. I have seen that, the revolution reserves have decreased quarter-over-quarter. Is there anything particular on these? Thank you.
Carlo Messina: So nothing in particular for the reduction in AFS reserve. Looking at the interbank position, we are in a very strong liquidity position, that's the reason why we decided to reimburse the LTRO. So the point, we'd TLTRO is more related with pricing and condition. So we are deciding to take the TLTRO, but just for the cost conditions because if you compare our cost of funding on a full year basis, we'd a cost of TLTRO. It is easy to say that is, this could be off convenience for the bank to take the money, then we will use the money to make loans, to bring loans to our customers at better conditions, sharing the benefits of the cost of funding, but maintain with bank, a positive contribution. Looking liquidity needs, we don't need to take TLTRO. So it is only a pricing conditions driven decision. On a fee and commissions, we made a very good job, also our pricing in commercial banking activities. You know that for us re-pricing is something as obsession. We made a significant pricing on the mark upside, but also looking at the EVA per clients, so we are making re-pricing also on commissions, incomes and that's the reason, why there is not only an increase in fee and commission from asset management and wealth management, but also from commercial banking activities.
Azzurra Guelfi – Citigroup: Thank you.
Operator: We are now taking a question from Christian Carrese from Intermonte. Please go ahead.
Christian Carrese – Intermonte: Goof afternoon, everybody. I have a three questions. The first one is one loans; we saw in this quarter further decrease. You said that loss, will go up in the coming quarters. I remember correctly, if I say that you're expecting a positive growth for 2014 compared to 2015. So by year-end, we should loans growing year-on-year and so, we should expect as well, net interest income growing in the second half, am I correct? The second question is on provisions. If you can give us an update on the potential joint venture with KKR and what do you expect, if you can share with us, your thoughts on AQR and the potential impact from AQR in terms of provision. We saw that, the coverage ratio on totaling per loss was stable more or less and on NPS, it grew earlier bit. So if you're comfortable with this kind of coverage or there is still some grey area coming from the AQR. Benefiting that there are AQR that could have a negative impact in terms of provisioning. And the further question is on Hungary, if you can give us an update. you made provision of €65 million this quarter, what do you expect in the coming quarter and if you can tell us, if you think that still strategic for you, Hungary or you can't decide at this point, with this kind of regular changes to decide to sell that asset? Thank you.
Carlo Messina: So looking at the loans and the relation with net interest income. The dynamics of the loans are related with the dynamics of the GDP in the country and it is also related with the dynamic of the demand of credit – the demand for products of companies in Italy. So I cannot say, that will grow in loans without considering the macroeconomics conditions in Italy. So our expectation was for a growth of 0.5% in the GDP year-on-year. Bank of Italy now is saying that the growth will be 0.2%. Our expectation is that could be between 0% and 0.2%. So it is a different environment, not so significant because at the end. This not will be in a dramatic change in the conditions of the long growth and also no change may view in the asset quality side, but in any case, that's the reason why I told you that I cannot be sure that we will have increase in this quarter, but I can be sure that we will have increase in the last quarter. So we have to wait for August and September to know if it is possible to say that, we will have a growth compared with last year or if we remain more or less flat in the comparison with last year. In any case, we have enough room in re-pricing both on the asset and liability side to make compensation for loan dynamics. Then looking in provisions on KKR. We are working with, we're agreeing the agreement and we hope that for the end of the year, we can finalize these agreement, but I don't see any significant impacts in improvement in provision as it is more a way, is not way of managing the sub standard and restructured loans. On the asset quality review, there is no grey area in my understanding today. So I think that's the level of coverage. It is the right level of coverage for us, to deal with the asset quality review than this doesn't mean that we can have just a slight increase or decrease. It will depend on reality and so I cannot make the "What if" analysis, without having the single, dossier and the single priorities about no grey are and I'm really confident. And as I told you, if I use the word "Win". This is because I'm really positive at this point.
Christian Carrese – Intermonte: Sorry, the decreasing trend in loan loss provision should continue in the second half compared with this year.
Carlo Messina: This is something, which we have to wait until we have the real figures because you know that I'm used to give a lot of information to the markets. We are the banks, with the really the bank disclosure to the markets, but my view is that to be sure to say that we will improve compared with 22% reduction, that is the real one further the two number. The two positions, I have to wait until the figures for the third quarter. For sure, there will be a reduction year-on-year for the amount, we have to wait until the next quarter, but I'm confident. Looking at Hungary, the €65 million is the one win, which we have conferred that this could be the figures, then we have to wait until the end of the clarification with the low in Hungary to understand, if there would be other impact on our figures in the second semester. Hungary is a country in which, we want to stay and so it is not a country related with our non-core assets.
Christian Carrese – Intermonte: Thank you.
Operator: The next question comes from Marta Bastoni from Barclays. Please go ahead.
Marta Bastoni – Barclays: I have three questions. First of all on NII. Can you give a bit of detail on the positive contribution of spread to NII? In particular, how much was actually due to deposits and how much on assets? You spoke about this in the call in the first quarter, I just wanted to have a bit of an update. Then on the NPLs, the gross NPL inflow was €3.5 billion in second quarter versus €2.8 billion in the first quarter and can you just give us a feeling of how these two numbers, would have looked. Well the second quarter number would have looked without the two specific positions that you mentioned before and third on Slide 20. You talked about the value of the collateral and this value of the collateral. It has increased from €82 billion in the first quarter to €88 billion. So I just wanted to understand a little bit better, how this was calculated, if it was sort of index improvement or anything else? Thank you.
Carlo Messina: So I will start from the last one. So Slide 21, not 20. In the presentation.
Marta Bastoni – Barclays: Oh! Sorry.
Carlo Messina: We talking about percentage point, so these are not absolute value. In any case, increased from the first quarter is due to increase in value in our leasing collateral. So if you look at the product companies and you compare with the product companies figures of last quarter, you see that they recent increased and that these recent increase in value of collateral, that we made during this quarter asking for evaluation of collateral to third parties evaluators. Looking at the NPLs, so moving to the second question and then we land with net interest margin. Looking NPL, if you not consider the two positions more or less it could be in the same range of the first quarter. Looking at net interest margin, the positive contribution of mark up is in the range of one-third of the benefit that we had on year-on-year basis and the last quarter [ph] is related to mark down and cost of funding.
Marta Bastoni – Barclays: Okay, thank you very much.
Operator: We are now moving to Francesca Tondi from Morgan Stanley. Please go ahead.
Francesca Tondi – Morgan Stanley: Hope you can hear me now? Just a few questions on my side and from my side I want to say, thanks for all the details. When I'm looking at your spread trends, clearly there's a composition with the help from mark up and mark down. On the same time, I actually see that the hedges are kicking in a little bit more negative, given I guess their investment yield there. Is the mark down still more positive than they had just coming in or they are just effectively taking away nearly all of the inside in, battle [ph] the mark down I don't if you can talk through about a little bit. Also looking at your financing, you're ineffectively with the leveraging of loans. Surely you may not be needing all over the retail funding and is that, what reason also why, you've asked the management to do so well. Can you give us an indication of how much of the client liquidity, which is in perhaps in your retail bonds in now going into managed assets? Also there's more questions on financial assets. They seem to be coming up quite strongly in the quarter. Could you give us an indication of what do you have there, in that increase or is that eventually coming in a gain or is more stable? I also see your provisions for the whole of the international division flat slightly down, how do you see the trend considering that some of the larger countries that you in there, you know Croatia, Hungry, Slovenia that are still going through a difficult time. Thank you.
Carlo Messina: So looking at the spread, there is a relation between the reduction in the hedging and the increase in mark down, but a significant that we can rely on is related on the cost of medium term funding. So the cost of funding, it is related with spread, BTP [ph] bond. So in any case, there's a correlation a between the hedging and mark down and we are seeing the figures correlation.
Francesca Tondi – Morgan Stanley: That the mark down is so high, then what the hedging is taking away, the mark down improvement?
Carlo Messina: More or less, in the same amount.
Francesca Tondi – Morgan Stanley: Okay.
Carlo Messina: So looking at the loans on our figures and so the possibility that having reductions in loans. We can improve our liquidity position and so use some room in the retail bonds maturities in order to increase our asset under management. At the moment, we are using mainly asset under administration, but at the end this could be the strategy for the future because as you know, we have a Net Stable Funding ratio, 120%, this means 60% gross of excess in medium-term liquidity. So we are starting in some selective which from the retail bonds into asset under management on request of our clients, so that's for sure and this could be the way in which in the future, we can improve the performance of our assets under management fee and commissions income. Before the time being, the impact is not so significant, for the future this could a lever for improving our results and also in a significant way. Also considering that we are having a very good performance in wholesale market, in a wholesale bond market and this could be something that can contribute to the liquidity position of the group and this can allow in the future to use the network to increase our wealth management power. Looking at financial assets, if you mean asset under management. The increase is due on the net inflows and performance effects, but mainly due to net inflows.
Francesca Tondi – Morgan Stanley: I was actually referring to the financial assets available for sale that got after buy around €5 billion or €6 billion quarter on quarter.
Carlo Messina: But it is probably only the area of valuation because at the end. The amount of the portfolio is begin reduced and in looking in this first semester, we've reduced the total amount of Italian Government bond by something like €9 billion increasing the amount of the other EU count, especially French and Germany government bond. So I don't see significant impact, so probably that's something related to evaluation. But then Marco Del Frate and Andrea Tamagnini can give you all of these details.
Francesca Tondi – Morgan Stanley: That's fine. Yes.
Carlo Messina: Then looking at and at the last question was related to?
Francesca Tondi – Morgan Stanley: Yes, cost of credit in the international division?
Carlo Messina: Yes, the cost of credit in international divisions, is improving. It doesn't seem any significant deterioration in the core countries in which we're operating. So the only point, we remain angry in these it is something which I elaborated on your colleagues, questions.
Francesca Tondi – Morgan Stanley: And because I find, I'm looking at your coverage of problematic loans in the various countries and it tends to be quite low compared to some of the peers in the country. So effectively, you have the bad loan of just you know over 60% in [indiscernible] just under 30% was generally coverage is closer to 70% for everything, if I'm looking at the other peers in the country. I'm looking at international as peers not local banks, they may have different accounting.
Carlo Messina: I cannot tell you, something different from that we are really confident with our level of coverage and also that you have to consider also the level of collateral, so you know that this could account also for 5% or 10% point in the coverage. So not easy making the comparison having only that the figures of the balance sheet. So I'm confident of the results of my countries.
Francesca Tondi – Morgan Stanley: Thank you.
Operator: We are now moving to Anna Benassi from Kepler. Please go ahead.
Anna Benassi – Kepler Capital Markets SA: I have two questions, one relate a gain to the NII. In your outlook for this year, you're saying that you'll do re-pricing action for the rest of the year, to really impart the impact of an expected negative empowerment on market rates. In fact, you rebuild is fully a gain. When you commented before about the loan volumes, but also the re-pricing effort, if I put together these comments with the outlook, does it means that, in any case the NII will be higher year-on-year for the full year, but with the second half, not as big as the first half of these year, just to understand how to put together these two comments? Another question relate the Banca 5, you started pretty strong moving there, revenue per customer from 70 to 80. You have to go 140 by 2017, so should we span out of 70. May I ask, what products, you started cross-selling best and what is sort of the second, what you expect the products more inflation, let's say for the coming quarters? Regarding AQR, you're talking about being confident because you have a lot of capital and so you can afford these quite tough exercise. You also said before that, you feel pretty confident on the current level of collaboration you achieved at the end of Q1. May I ask if you're more confident on the level of evaluation of collaterals, you achieved so far? Or more on the classification side, so you expect that should given the change is coming more from different classification of your problematic loans, whatever categories part of your current performing loans into problematic or is more a gain on the collateral side? Finally on the cost, which were definitely a positive surprise once again, I would say for these quarter. The negotiation with Trade Union for the [indiscernible] countries are going nowhere, as I know, so you're I think the restart again probably in September, what could we expect, what you expect from these new contract, is more question of lower unit cost or is more question of flexibility? What we could expect and try to model coming from these new contract? Thank you very much.
Carlo Messina: So on national contracts, I have no expectation. So we will see on September, what would be the final results of the agreement or the agreements. At the end, anyways we are able to compensate difference negative solution, but I have no expectation. I'm confident both on the value of collateral and both of classification. So I don't see any kind of difference on asset quality review. On Banca 5, the main driver is the insurance products. On net interest margin, the re-pricing actions will not move to a reduction in the net interest margin in the second half of the year compared to the first semester of the year.
Anna Benassi – Kepler Capital Markets SA: Thank you very much.
Operator: We have now a question from Giovanni Razzoli from Equita. Please go ahead.
Giovanni Razzoli – Equita SIM SpA: Two quick question, the first one is on the, on the cost of risk of CIB division. I have seen it is an accelerating on a quarter-on-quarter basis. I wonder whether this is a later that to the one-off increases in the two tickets that you've mentioned in the Q2. And the second question in the cost trend, you've very good results in the first half basically flattish cost in the first semester. I have seen you've still actions to implement the reduction to legal entities, you've reduced the number of branches in the Q2, so part of these actions probably will have it translated only, partly to the cost base in the Q2. So I wonder, whether we can consider these 1% growth of as sustainable going forward or shall we also assume deceleration for the rest of the year? Thank you.
Carlo Messina: So cost of risk on CIB division is due to the two positions, so that's the reason, why. On cost trend, I think that we can rely on the trend. The only point, I can confirm is the level of target that we have in the business plan, then the dynamics of the quarter will depend on the capital budget, we will use in each quarter. So the trend is clear, that the number and the figures I cannot commit on specific figures.
Giovanni Razzoli – Equita SIM SpA: Thank you.
Operator: We are now moving to Andrea Filtri from Mediobanca. Please go ahead.
Andrea Filtri – Mediobanca: Just three questions, from me. What is your expected evolution of the NII contribution from the bumper for incoming quarters? The second one, after the comprehensive assessment could you potentially consider accelerating your dividend payout plan, given the capital builds that you have delivered already? And finally, what characteristics would you be looking for in a potential target becoming available after the comprehensive assessment? Thank you.
Carlo Messina: So no target after the comprehensive assessment. So no specific targets. I love the private banking area, so I love private banking, but I have no target and I'm fully committed on delivering the business plan. So looking at the dividend policy, taking our results. I will not be in a position to use the excess of capital, until aiming the real level of capital, the thresholds for all the European banks. It not clear, today what is the real lever. So 8%, 9.5%, so as soon as I have a clear indication, I and also the other European peer because it will be the same for all the other European peers, I can evaluate to make a different policy in my dividends. The evolution of net interest margin looking at the contribution on government bonds more or less we remain at the same level, the only point could be the disposals, if we decide to have some trading income dividing from the portfolio, but for the time being, my estimation is that we can have more or less the same contribution.
Andrea Filtri – Mediobanca: Can you give us, of your Latin capital gains?
Carlo Messina: No.
Operator: We are now moving to Domenico Santoro from Autonomous.
Domenico Santoro – Autonomous: Thank you for the presentation, is all very clear. Sorry to touch base again on NII fees and credit quality, just for the better understanding what you sell before?
Carlo Messina: Probably, my English is not so good because all your questions are on net interest margin. So if you want me to give you the numbers for the third quarter and the fourth quarter. We can go for other two or three hours, that would not give you the figures.
Domenico Santoro – Autonomous: Okay, let's try to rephrase the question. I mean, I just want to understand a little bit more your basically the Slide, Page 31 because when I look at the slide vis-à-vis the last quarter, there is of course a material reduction of contribution from spread and I would have expected much more in terms of re-pricing of deposits. If I look at your Spanish core leagues, they are basically much more effective in terms of re-pricing. So I just want to understand given that you said before that loans, they're not going to move in the third quarter. Just to understand, how these could continue and if you can give us a little bit of sense of these. Also because I see, the tone from your press release, which a little bit cautious in terms of NII. On fees, just another details, if I can, on the asset management side? [Indiscernible] I see quite spike in the quarter, I assume this is mainly upfront from higher sales and my question is whether this is a, what is basically behind this number and whether this sustainable for the third quarter. I assume, you're going to get also some contribution given that you basically reimbursed the state guarantee in the second quarter and if you can quantify, this and on credit quality, I didn't get your, basically tone on the asset quality. When I look consensus, the loan loss provision for the year is around €4.5 billion, so consensus was clear expecting the same level in the second half of the year. When I look at the movement in terms of non-performing loans, they're basically the same on Q1, just to get a sense where this could go, this could continue. Thank you very much and sorry about these questions again.
Carlo Messina: No, I know just to say that it is, a topics that is of really interest for the market and I understand because, if you compare ours. We're the Spanish bank is the first time that we are very positive and they are negative on revenue. So I understood that this could be really of interest to understand, how it is possible that Italian mainly concentrated in Italy could be really the bank with highest growth in revenue. So looking at net interest margin, the re-pricing on mark up will continue, but the real point is that we are making also re-pricing on commissions. So we cannot be sure, what could be the mix between net interest margin and commissions. The reality is, that we are working our revenues. So both net interest income and commissions, fee and key income. This is reality, when you manage a relation with the clients. So it is not related to a simulation model, but if it related, with reality of relation with client. So I cannot be sure, that I will have €10 million increase in net interest margin or €10 million increase in commissions, that's the reason why we are cautious and we are bullish in commissions, but at the end it could result also in increase net interest margin and not increase in commissions deriving from the relation with the commission side. Looking at asset under management, there is no upfront fees in this quarter. So thus results of increase in volumes with the activity, it is impressive the increase in volumes, we had in this quarter. Looking at non-performing loans, sorry I didn't understand very well your question, so if you can repeat, please?
Domenico Santoro – Autonomous: It was more on the basically on the fees that you're paying to the States and your emboss [ph] basically the State guarantee, so I just wondered whether?
Carlo Messina: Oh! Yes right. Okay, sorry, I didn't say – yes. We're having a benefit that could be in the range of €20 million to €25 million per quarter.
Domenico Santoro – Autonomous: Okay.
Carlo Messina: Okay.
Domenico Santoro – Autonomous: Thank you.
Operator: We are now moving to Hugo Cruz from Redburn. Please go ahead.
Hugo Cruz – Redburn Partners: Hi, sorry, no further questions from me.
Carlo Messina: Thank you very much.
Operator: The next question comes from Alberto Cordara from Merrill Lynch. Please go ahead.
Alberto Cordara – Merrill Lynch: For me a couple of questions, the first one is we hear from a lot of players from main Italian banks that are trying to sell NPLs and I know that you have this KKR thing under starting, but you don't seem to while the names, that is looking to place Balcam Pier [ph] portfolio. So the question is why do you follow different strategies, then really the main other Italian banks? And the second question is, a bit related to your liquidity position. I mean, I saw that. yes, the loan volumes were down, but when I look quarter-on-quarter most of it is related to loan repose, so is €5 billion that came off and I think, it seems to me that you're basically reinvest in some excess liquidity into AFA, sort of in assets and what's not, but then on the other hand. This I connect to a question, you received before, I saw that your interbank position have dramatically improved or have come down very significantly since the beginning of the year. Net interbank is down by over €20 billion. So affectively, you're giving away the cheapest source of funding, which is quite different than what we see from some other Italian banks. So again, also on this issue the question to you is, why do you follow different policy than other guys and what is the read across, also the rest of the industry? Thank you.
Carlo Messina: So looking, we are different from the others looking at capital liquidity and leverage position. So we have a clear strategy related with NPLs because I told clearly, if the market that I consider the pricing that are now in the market as under evaluating the value of collateral in Italy because now it is recovering the real estate market. So this will allow an improvement in the pricing of the collateral. And so if you want to make a disposal and you do not need to make disposal because if you need to make disposal because if you're in a difficult situation, the capital liquidity you will accept the price in the market, but if you're in a very good position capital, liquidity, leverage and you can wait also because you're recovering much more than the amount you provisioned. You can wait until a better pricing in the market, that's my strategy. So recovery until I can have a pricing that is better, than the recovery rate that I can have on my non-performing loans. Looking at liquidity positions, we have a clear point on the liquidity position of the Group. Now moving towards strategy of we make, the wholesale funding for the first semester of the year. We decided to anticipate, its typical of our Group to make sure that both the wholesale maturities are covered in the first months of the year. We made the coverage, now we are working on using the liquidity into [indiscernible]. It is another way of having a very safe approach on liquidity that is typical of our bank, you must know that we are really very conservative on this point. Now we are releasing the excessive liquidity and this could also be another way of increasing our asset management areas.
Alberto Cordara – Merrill Lynch: Thank you very much. Thank you.
Operator: We now have a question from Adrian Cighi from RBC. Please go ahead.
Adrian Cighi – RBC: Adrian Cighi from RBC. Thank you for taking my questions. I have two questions, please. First one; you're holding off the Italian government bonds declined by so €5 billion from the previous quarter, while that duration has marginally increased, do you see the opportunity to further increase the margin of this government bond portfolio and do you expect it for the decrease the government bond portfolio? Are you comfortable with the current levels? And the second one, you mentioned that you expect to share some of the benefits from the low cost of funding from the TLTRO the customers. Do you see that generating some pressure on asset yields being more white spread across your corporate clients, but actually limiting your re-pricing ability? Thank you.
Carlo Messina: So looking at the government bond. We think that, we can reduce the amount of the Italian Government bonds. We are aiming a process of diversification of our government bond portfolio more or less the total amount considering also other countries government bonds, our countries with better rating, then our countries. So especially French and German could happen in the next month in any way the trend is clear, we want to make diversification of our government bond portfolio and we will have to do because entering into the regulation of the ECB. It is clear that, it is better to be more diversified and then the duration more or less will remain same level that could increase but not so much. Looking at the cost of funding related with the TLTRO. So the possibility of sharing the benefits with the clients, this could be an impact also related with the attitudes of the other banks. This would be limited of the total amount of TLTRO. I don't see significant pressure in the margin and in any case, we have today still a 20 basis points lower price compared to the market. So we have higher interest. We are having lower contribution than our peers. So I'm really confident also on this point.
Adrian Cighi – RBC: Many thanks, very clear.
Operator: We are now taking a question from Ignacio Cerezo from Credit Suisse. Please go ahead.
Ignacio Cerezo – Credit Suisse: I have just one question related to wholesale funding. You've been very active basically, which means bonds most of them are pretty long-term actually including some subordinated and insurance in the beginning of the year. So there has been replacing the retail bonds, you mentioned before actually, it was probably cost decision as well, but I'm basically wondering, if you had savings in terms of wholesales bonds replacing old ones. And if you're expecting actually to continue to be that active in the market and to have future savings and all the bonds are being and that are not being replaced. Thank you.
Carlo Messina: We are having benefits from this actions. So comparing despite the new insurance could be in the range of 20 basis points, 30 basis points looking at the wholesale market. The strategy for the next future will be fixed considering the excess liquidity related to net stable funding ratio because after the Asset Quality Review. We will make the comparison also all the other European peers and then we will decide maintaining a cushion [ph], so maintaining in any case a better position compared to our peers. The amount of these reserve that can be considered in access and it is something that we will evaluate also only at the end of the comprehensive assets having in mind the comparisons with all the other European peers.
Ignacio Cerezo – Credit Suisse: And on another levels, market levels actually and I mean the new bonds which are going to be issued in the next 18 months or so are still cheaper at the ones which are being replaced?
Carlo Messina: Yes, absolutely.
Ignacio Cerezo – Credit Suisse: And the GAAP actually is even larger than the 23 basis point?
Carlo Messina: Yes, much larger. Yes.
Ignacio Cerezo – Credit Suisse: Okay. Thank you.
Operator: We are now taking our final question from Matteo Ramenghi from UBS. Please go ahead.
Matteo Ramenghi – UBS: I had a few questions, but given how many you have to answer already. I'll limit myself to one on Hungary. Clearly, Europe is taking big steps over banking integration and investing a lot in the AQR and harmonizing the rules. In this context however, there seems to be not much coordination on potential regulatory actions like those on the Hungarian effect retail lending, shouldn't we expect the European Commission or they should be arranged it to look into this topic, which has been given the recent news worth than must both expected. Thank you.
Carlo Messina: I hope so. So thank you, Matteo, if you want to have some other questions. You can do because at the end, you will penalize, but all the other, so.
Matteo Ramenghi – UBS: No, that's fine. I think, I got plenty of feedback from your answers. Thank you.
Operator: I will now turn the call back to the speaker. Thank you.
Carlo Messina: There is no other question. Okay, so thank you very much. I'm really happy of these results. So I'm happy for the performance of the bank and the delivery that my colleagues, my persons are doing in these business plan. I'm confident that we will be really one of the best banks in Europe. So see you in the next months in the road show and happy holiday.